Operator: Greetings. Welcome to the Build-A-Bear Workshop's Third Quarter 2020 Earnings Call. [Operator Instructions] At this time, I'll now turn the conference over to Allison Malkin of ICR. Ms. Malkin, you may now begin. 
Allison Malkin: Good morning. Thank you for joining us. With me today are Sharon Price John, CEO; and Voin Todorovic, CFO. For today's call, Sharon will begin with a discussion of our third quarter fiscal 2022 performance and update the progress we have made on our key priorities. After Voin will review the financials and guidance in more detail. We will then open the call to take your questions. We ask that you limit your questions to one question and one follow-up. This way, we can get to everyone's questions during this 1 hour call. Feel free to re-queue if you have further questions. Members of the media who may be on our call today should contact us after this conference call with your questions. 
 Please note, the call is being recorded and broadcast live via the Internet. The earnings release is available on the Investor Relations portion of our corporate website. A replay of both our call and webcast will be available later today on the IR site. I will remind everyone that forward-looking statements are inherently subject to risks and uncertainties. Actual results could differ materially from those currently anticipated due to a number of factors, including those set forth in the Risk Factors section in the company's annual report on Form 10-K. We undertake no obligation to revise any forward-looking statements. And now I would like to turn the call over to Sharon John. 
Sharon John: Good morning, and thank you for joining us today. We're pleased with our third quarter and first 9 months results as we continue to see momentum and consistency in our business with strong brand interest from consumers. Our retail store traffic continues to show double-digit increases leading to year-over-year growth in transactions across geographies. With our fiscal 2022 third quarter, we have now delivered 7 consecutive quarters of increased total revenues compared to the prior year's period with sustained profitability throughout that time. Given our fourth quarter and year-to-date positive trends, we are positioned to deliver the most profitable year in our 25-year history, building on the 2021 results, which marks our previous high. 
 We believe this track record of successful growth reflects the consistent and disciplined execution of our long-term strategic model to leverage the awareness and affinity of our brand to fuel consumer interaction and drive more transactions through multiple retail channels with a broader addressable market. We believe that the foundation that has been built as this brand leveraging diversition strategy has been instituted, positioned us to scale and drive further transformation and profitable growth. Specifically, highlights of the quarter include: total revenues of $104.5 million, an increase of nearly 10% over the fiscal 2021 third quarter, even with the unfavorable impact of foreign exchange of over $2.5 million. We saw growth across all reported segments with solid increases in net retail sales, commercial revenue and international franchising. 
 Pretax income close to $10 million, an increase of over 25% compared to the fiscal 2021 third quarter. And we continue to have a solid financial position and strong balance sheet, ending the period with no borrowings on our revolving credit facility. Now let me review in more specifics, the progress we have made on our strategic initiatives, which include accelerating a broad-reaching and comprehensive digital transformation, continuing to evolve our retail experience and footprint while taking advantage of our expanded omnichannel capability and leveraging our solid financial position to invest in initiatives intended to drive growth and return value to shareholders. 
 First, we are confident that the digital transformation of our company is providing benefits throughout our organization and to our business model. Today's consumers want to engage with brands that provide experiences and emotional connection, when they want, where they want and for whatever they want, optimizing this omnichannel consumer dynamic requires multiple shopping channels and intelligent marketing engagement that elevates the offerings and services of these diverse consumer segments and their needs. 
 As such, we continue to invest in digital technology to expand, develop and refine these capabilities. We believe that each of our multiple channels provides value, both in driving profitable revenue and engaging and servicing consumer demand. In that regard, as the balance between digital shopping and in-person shopping continues to adjust in the post-pandemic era. We are generally agnostic to any single channel with a focus on driving more visits and lifetime value to consistently deliver profitable total growth. Specifically, as it relates to our digital demand strategy, in the quarter, we prepared for and launched the planned update of the new mobile first version of our e-commerce site with extended A/B testing and algorithm refinement being made throughout the period on multiple points from the landing page to check out.
   While some sales disruption is expected during this type of upgrade, we saw a greater than planned decline in digital demand in the quarter, which could also be related to what seems to be a macro consumer trend back to in-person shopping, simply shifting some of our demand to our retail locations, given the strength of our total sales growth in the quarter. That being said, our most recent e-commerce trends have shown improvement and have returned to a positive trend in the current fourth quarter with growth from both the Black Friday and Cyber Monday period as compared to the prior year. In addition to providing features for our core consumer base, one of the key objectives of the web redesign was to further engage with our multigenerational loyal brand enthusiasts, with our new offerings ranging from gift giving and heart box, collectibles in the bear case and our new family Pajama shop as well as other web exclusive products and offerings. 
 In conjunction with the update to our e-commerce platform, we also advanced the technology supporting our omnichannel loyalty program and have initiatives in place designed to increase enrollment and drive lifetime value. In the quarter, with these efforts, we had a higher number of active members in the program compared to the prior year. saw average annual transactions per active member increase, which we attribute to advancements in our consumer communications and direct marketing. as we more effectively use predictive analytics to refine specific buyer journey and target personalized messages based on prior purchase patterns, occasions or merchandise preferences, increased average revenue per member was greater than historical average spend from both new member enrollment and repeat purchases and evolved member benefits with features such as early access to new products, discounted shipping and automated reward delivery intended to drive incremental transactions. 
 The pattern of consumers shopping further ahead of key holiday has continued, and we have taken advantage of this trend by launching and marketing seasonal products sooner than we did in the past. For example, in the third quarter, we launched our holiday assortment for Halloween in early September and saw strong demand contributing to an increase in sales of over 60% compared to the prior year in this category for the period, a record for our Halloween products. Regarding our content strategy, we are developing viral post, short-form digital content and entertaining programming for various platforms from sites like YouTube and TikTok to social media like Facebook and Instagram as well as streaming platforms. 
 From our live-action film Honey Girls based of our historically best-selling product lines, which continues to air on Netflix, to the ongoing popularity of Build-A-Bear Radio on the iHeart Radio media platform, Build-A-Bear is in the content business. further driving awareness and brand affinity with multiple projects in the pipeline. These projects include a Build-A-Bear documentary with an award-winning documentary on Taylor Morton launching next year, the recently announced partnership with Reis Witherson's Production Company, hello Sunshine, and the development of an animated film called Glisten and the Merrymission slated for holiday 2023 based on our multiyear best-selling product line featuring Santos Reindeer and other characters that have been created by Build-A-Bear with more details to be shared in a press release slated for later today.
  Separately, as you may know, we recently entered the metaverse via our successful Web3 partnership with Suite to launch our first NFTcommemorating our 25th anniversary followed quickly by unique in ST-series. While we have exciting plans to continue to tease a Build-A-Bear began in the brick-and-mortar space, we recognized the significant trend to online shopping, especially during the pandemic and have simultaneously capitalized on the digital opportunity in e-commerce and our expanded omnichannel foundation while leveraging our high level of lease optionality to drive profitability in physical stores to one relationship and emotional connection made at our workshops, is our killer app, so to speak, and have diligently worked to evolve our meaningful and profitable retail footprint. Given our years of expertise with clear strategic intent and tenacity, we have created a multidimensional retail engine, delivering over 25% average 4-wall contribution with essentially 100% of our locations being profitable.
  providing both the brand and the business, significant leverage ranging from exceptional loyalty club capture to free cash flow. Now with consumers embracing both online and in-person shopping, we see this as an opportunity to continue to scale and grow in a diversified manner. In the quarter, we saw an increase of over 8% in net retail sales compared to the prior year as growth in store sales more than offset this quarter's decline in digital demand. Again, the value of stores extends beyond the profitable revenue they deliver. We also fulfill digital demand from our stores, leveraging on-site labor and inventory. As a reminder, the stores act as immersive brand touch point, marketing vehicles and brand building [indiscernible] the threshold of our locations each year. We have an emotional brand and our stores often serve as the initial engagement that lays the foundation for a lifetime of connection. 
 As previously shared, we see the potential to profitably expand our retail portfolio, including opening more than 20 locations in diverse settings in 22. We expect to finish the year with approximately 420 combined corporate and third-party locations compared to 407 at the end of 2021. The third-party retail locations expected to be at 65 by the end of the year tend to be in family-centric settings and are capital light, allowing us to efficiently engage with consumers with minimal overhead. It is important to note, as this model is on a wholesale basis, the retail revenues are understated, this  drove our over $4 million in commercial revenue in the 2022 third quarter and $12 million year-to-date, an increase over the prior year of approximately 50% and 60%, respectively. This multidimensional approach to retail reflects our core belief that we are not over stored as a brand and the strong profit margins across essentially our entire portfolio supports the opportunity for further growth of our retail footprint in North America and beyond.
  And finally, regarding our third pillar, we remain intent on leveraging our solid financial position to invest in growth while generating sustained profitability and returning value to our shareholders. As we look to the critical fourth quarter of fiscal 2022, because business trends remain positive, we have increased our annual guidance, which, as I noted, has us on track to deliver the most profitable year in our history. We continue to believe that we are in a stronger inventory position with sufficient test in proven branded properties such as Merry Mission as well as updated licensed products compared to 2021, which has impacted which was impacted by supply chain disruptions. Our store traffic patterns have remained positive, outpacing reported national trends on a quarter-to-date basis, inclusive of the Black Friday shopping period. 
 We also expect our trend of higher levels of guest acquisition and retention to continue with our advanced digital marketing and loyalty capability. We have seen a positive response to a broad selection of seasonal products across channel. And on the licensing side, we look forward to the launch of products tied to the upcoming puss in boots movie and for the tan-adult segment with our new Tedlasto collection. In closing, I want to thank our associates around the globe, our suppliers, partners and enthusiastic brand fans that are at the heart of the growth and success that we've achieved. In October, we celebrated our official 25th anniversary with events that range from Ren the opening bell at the New York Stock Exchange to sharing some of the stories of the almost 225 million for [indiscernible] friends that have been made since the company's inception.
  The celebration culminated with Build-A-Bear Foundation's anniversary gala honoring our founder and our mission to add a little more heart to life. Thanks to all of the sponsors and everyone that joined in that special event to help raise funds for kids in need. While we have enjoyed celebrating our past quarter century during this momentous year, that is once again expected to be the most profitable in our history. The real story is actually all about our future. Why? Because Build-A-Bear is a company that has recognized and executed change in the face of evolving consumer preferences, sweeping advancement in digital engagement, shifting geopolitical impacts and a global pandemic to become a profitable and growing digital multichannel diversified site-based entertainment and experience company, featuring products in more categories that appeal to a broader consumer base than at any time in our 25-year existence. 
 Though there are some continued predictions of economic concerns, we believe we have proven the resilience of our business model, the wherewithal of our team and the relevance of our brands. Therefore, we remain excited, motivated and determined to continue to drive long-term shareholder value as we take the next steps on our journey to further leverage this business model to monetize the tremendous value and emotional connections associated with the power of Build-A-Bear now I'd like to turn the call over to Voin. 
Vojin Todorovic: Thanks, Sharon, and good morning, everyone. We are pleased to speak to you today and share details regarding another strong quarterly performance. As noted, this marks the seventh consecutive quarter of increased revenue compared to prior year and is also the third consecutive year of record profitability for our fiscal third quarter. Nearly 10% growth in total revenues generated over 25% increase in pretax income, which as noted was the prior historical high. We have shown consistency in delivering increased revenue and profitability, which we believe demonstrates the disciplined execution of our long-term strategy, resulting in an increase in average annual purchase frequency across a broadened consumer base that has embraced the power of Build-a-Bear brand. 
 To put this into perspective, comparing our current quarter to fiscal 2019 third quarter, our revenue grew over $34 million or 48% and profitability improved nearly $18 million. Our unique and proprietary products and experiences, coupled with effective marketing, have been efficiently driving double-digit increases, retail traffic, which all combined have contributed to our successful results for the first 9 months of the year compared to the same period last year. Thus far, in the fourth quarter, we have continued to see positive trends in our business with ongoing growth in overall sales and increased retail traffic levels, including strong Black Friday and Cyber Monday performance. 
 The combination of our successful results for the first 9 months and current momentum gives us confidence to increase our annual revenue and profitability guidance ranges, even as currency headwinds and inflationary pressures continue. Moving on to a review of third quarter results. Total revenues were $104.5 million, a 9.9% increase compared to $95.1 million in the fiscal 2021 third quarter. Foreign currency exchange rates negatively impacted revenue by $2.5 million in the quarter. Retail revenue increased 8.3% from the fiscal 2021 third quarter, with strength in the retail store sales more than offsetting a decline in digital demand as consumers adjust shopping behavior between in-person and online. 
 Our key metrics show we are driving healthy growth primarily from continued strength in retail traffic and transactions versus strategic and inflationary price increases. Combined revenue from our commercial and international franchise segments grew over 47% compared to 2021 third quarter. Gross profit margin was 52%, increasing sequentially from the second quarter as the external freight pressure eased as expected. We have been successful in minimizing the impact of significant inflation in macro freight and product costs, which limited the reduction in gross profit margin versus last year's third quarter to 10 basis points. We believe that our proactive and disciplined expense management played a role in mitigating these higher costs as well as expanding gross profit margin by 1,260 basis points compared to Q3 of 2019.  
 Overall, for third quarter '22, gross profit margin reflects a reduction of approximately 200 basis points in merchandise margin, driven by higher freight expense, mostly offset by leverage in occupancy and distribution costs. We expect freight costs to continue to improve and contribute to gross profit margin expansion in the final quarter of the year compared to prior year. SG&A was $44.4 million, which as a percent of total revenues showed a 130 basis point improvement versus the prior year. We delivered pretax income of $9.9 million, an increase of 25.3% from the third quarter last year, even with the impact of approximately $2 million in incremental freight costs and $400,000 in unfavorable currency exchange. And turning to our year-to-date results for the first 9 months of fiscal '22.
  Total revenues were $322.8 million, representing growth of 14.6% compared to the fiscal 2021 first 9 months. Pretax income was $35.7 million, an increase of $16.7 million compared to the first 9 months of fiscal 2021. This growth is particularly impressive when considering that we had incurred over $10 million of incremental freight expenses and $1.2 million in unfavorable currency exchange. At quarter end, we had approximately 14.7 million shares of our common stock outstanding compared to 16.3 million shares at the end of the third quarter of 2021. During the quarter, we repurchased approximately 337,000 shares for about $4.8 million and have approximately $46.5 million remaining on our $50 million share repurchase authorization program. 
 Turning to the balance sheet. We ended the fiscal 2022 third quarter with cash and cash equivalents of $12 million compared to $48.5 million at the end of the third quarter last year. The reduced cash position at quarter end compared to the prior year reflects the repurchase of our common stock payment of a special dividend and a higher investment in working capital to support strategic initiatives intended to drive further growth, inclusive of the pull forward of inventory receipts. At quarter end, we had no borrowings under our revolving credit facility. We ended the period with $88.3 million in inventory, an increase of $26.4 million from the end of the fiscal 2021 third quarter. 
 Keep in mind, Q3 last year had unusually low inventory due to the impact of supply chain disruptions, compounded by strong sales performance in last year's third quarter. The year-over-year increase also reflects the strategic acceleration in the timing of our order placement, giving us increased quantities of core products, in the main holiday offerings and evergreen merchandise collections to support our business momentum and as part of our efforts to mitigate ongoing supply chain challenges.
  In addition to the planned higher unit levels, the inventory balance reflects both higher transportation and product costs. We remain comfortable with the level and composition of our inventory and continue to expect our inventory at year-end to be below fiscal 2021.  while mindful of the overall macro environment, including anticipated continued unfavorable currency exchange rate, based on our strong first 9 months performance as well as our current positive trends, we are increasing our full year guidance compared to our previous outlook. For fiscal 2022, we currently expect total revenues in the range of $455 million to $465 million as compared to fiscal 2021 total revenues of $411.5 million. Pretax income in the range of $56 million to $63 million as compared to fiscal 2021 pretax income of $5.7 million. EBITDA in the range of $69 million to $76 million as compared to fiscal 2021 EBITDA of $63 million.
  income tax rate in the range of 24% to 25%; capital expenditures in the range of approximately in the range of $12 million to $14 million and depreciation and amortization of approximately $13 million. Please keep in mind that our outlook assumes no further material changes in the operations of our supply chain, including the ability to receive and ship products on a timely basis, the macroeconomic environment, inflationary pressures or relevant foreign currency exchange rates. As we come to the close of our celebratory 25th year, I'm proud of the hard work and accomplishments of our team that has led to sustained positive performance. Over the past 9 months, we have driven evolution, diversification, revenue growth, double-digit profitability and continued momentum in our business. 
 We have entered the holiday season from a position of strength and look forward to continuing to deliver further success in the future. This concludes our prepared remarks, and we will now turn the call back over to the operator for questions. Operator? 
Operator: [Operator Instructions] And our first question comes from the line of Eric Beder with SCC Research. 
Eric Beder: You mentioned that the Q3, you saw the rollout of the new online website. On the [indiscernible] I can talk about how you see that flowing forward and what you see in terms of other pieces you can do with that as it gets more integrated going forward? 
Sharon John: Yes. It's not just online. It's also mobile first, with a lot of the objective as well as putting in new capabilities and taking that opportunity, as I mentioned, to test a lot of best-in-class options for optimizing click through as well as sales, add-on sales, improving conversion, a number of things. If you I encourage you guys to go on to the site and experience it. And what we're also doing at the same time, thank you for the question, is integrating that into our comprehensive and expanding relationship with Salesforce, which many of you know, we've been working with them for quite some time to have this integrated dynamic approach, and it's allowing us to accumulate important analytics that are associated with specific consumer bases as well as specific consumers. 
 So there's an opportunity to build out specific journeys, which is the terminology for this that is related to perhaps the consumers' previous preference based on their sales history or some assumptive data based on other look-a-likes that allows us to drive that lifetime value to get another engagement, an additional purchase, an add-on purchase, making suggestive selling, all based on the analytics and a more automatic process. And this is the way of the world today on being able to engage in multiple ways across numerous different channels. When you have the omnichannel capabilities, which is inclusive of a robust and profitable retail arm, combined with this well, our expansion in e-commerce, which we saw significant growth in the post-covid and the Covid environment. As you know, that, that business at the end of 2021 was 20% of our sales when prior to that, it was in the mid- to low single digits.
  We've seen this interface and exchange of the consumers going back and forth, and that's usually where your highest value consumer comes from. So that's the ultimate goal is to raise that level of engagement, provide opportunities, products, occasions for consumers to go into the store, go on the website, be able to then reach out to them to even encourage them to watch a movie or push certain content to them and then getting them to back into the cycle of wanting to stay engaged with and evolve the Build-A-Bear and that's the crux of lifetime value. I'm sorry, that was a little bit long, but it's a -- that's a comprehensive question. So I thought it deserved a comprehensive answer. 
Eric Beder: And just a follow-up. So you've expanded out the product offerings this year, you rolled out the matching family pajamas. I know you do this as a license with a pet source. How do you see that kind of expansion? And I think it kind of ties to what you just talked about in terms of expanding the experience. How do you determine what are the best items for the customer and where they should be able to get them either online or the licensee or other or at the store. 
Sharon John: Yes, that's a good question. And it's the multidimensional sort of answers to that, when we're determining what categories might be appropriate, we think about consumer acceptance in terms of where how stretchable is our brand, how valid is our brand in a certain category. The Pajama category makes a lot of sense for Build-A-Bear. Teddy bearers are wildly associated with spend time. And that's a trending category. We're also a family experience. We're woven into special moments and celebratory activities. The holidays are often associated with these matching family pajamas and Teddy bears are associated with both the holiday and bed time. 
 So you can kind of see why that would make it one of the reasons that we decided to do the holiday pajamas and the family Pajamas through our own website, just like with our gift box, heart box concept that's a category that we know well, and we're speaking directly to that consumer. We can use our consumer database. which we have we've mentioned before, tens of millions of direct information on how to reach these particular consumers beyond even our loyalty program that allows us to add that marketing piece on to other marketing materials that we might be sending to them that would be relevant. We also have a sense through our loyalty program who has a family.
  So we're able to connect those dots and push out a journey that's associated with that. So that's a cut and stitch business that we understand, right, we understand how to source and manage a market. The pet toys, for example, and that's not our first outbound licensing category. We've been in the outbound licensing business for a few years now with hard on sort of molded toys with our -- that we've done in the past. We've done betting, we've done bikes. There's a lot of things that are outside of our core competency and expertise through either the manufacturing of those products or the venue through which it sells best. In this particular case, the ideal venue would be a pet store, which is where we are. We're exclusively with PetSmart. And I believe that we I believe it was the last week of November that we were in full fleet with them. And from the reports that I've heard, everyone's pretty excited about it... 
Operator: Our next question is from the line of William Zolezzi with Divisadero. 
William Zolezzi: Great. So a couple just housekeeping questions to start. And speaking with a lot of your peers, freight rates, both internationally and domestically, really collapsed in Q3. And obviously, you guys are on Tipo accounting. So the benefit would be in subsequent periods, kind of Q4. And namely, next year, there'll be a big freight benefit. Yet here, your gross margins expanded within Q3. So I guess, why did you guys see such a big improvement in the gross margins in Q3? And have we seen the totality of that improvement? Or given kind of freight rates move down through the period, we could actually see further benefits as we turn the page to next year. 
Vojin Todorovic: So yes, William, you are right. Freight rates, as we said even on the last call, there was some timing and seasonality, and we saw a bigger impact of those rates in the first half of the year. And as there is timing of inventory gets moved and sold, we are expensing some of that. Thus, we are reduced, that we said in the last call, we expected to see more of an improvement in Q3 and further improvement in Q4 versus Q3. So that's in line with what you are thinking. And part of the reason we called out first couple of quarters that trade impact was about 400 basis points in this quarter. It was about 200 basis points, but with increase in sales and leverage of our occupancy and distribution costs as well as managing our promotional activity.
  We were able to mitigate and basically offset all of those additional costs. Now as we go forward in Q4, as we said in my remarks, we expect freight costs to continue to improve and contribute to the gross profit margin expansion in the final quarter of this year. 
William Zolezzi: Okay. Great. And then I guess, just a bigger picture question, and it seems like it's not one thing, but a lot of initiatives you guys are working on that are working. I look across the landscape, Mattel, Hasbro and Funko, oh my gosh , just horrible quarters as we think about kind of the toy space or kind of some of your peers serving kind of children. And yet you guys are here, we're going to grow revenue double digits this year in an environment, which is very tough. So why do you think you've been so resilient when your peers have not? 
Sharon John: I certainly can't speak to the other companies that were mentioned. But you just defined us as a children's toy company, which I think may be an insight to a different way to think about it. We have worked very hard to extend beyond the core kids where we started as a company 25 years ago. 40% of our sales are now to teens and adults, we're enthusiast brand, a collector brand, a gifting brand. And we've also, as we mentioned in the last response, have extended beyond what you might consider a toy. First of all, the Teddybear and our furry friends as we like to call them, have served different purposes for different occasions. So yes, in its most fundamental definition, you would call it a toy, but it serves different purposes. Is it a gift? Is it [indiscernible] ? Is it that whether the purposes that it serves? And the second piece is that we've expanded into entirely new category, whether that's through our own initiatives, as we mentioned with the Pajama business or it's with the extension through partnerships with pet toys or it's the entertainment side that's helping to drive the business.
  So we believe that the diversification of our business is very strong. The other piece is this entire discussion that we served up in the comment, which is about our retail -- we have a vertical retail machine that drives profitability that drives engagement that we now have successfully digitally integrated with omnichannel capability using those 400-some-odd locations to the many warehouses that helps us elevate and improve that last mile of distribution and fulfillment in a really efficient manner. That ability to directly connect with the consumer in a way that wholesale companies often can't is an important part. That's why I called the stores, our killer app. 
 We have a really integrated approach now that allows us to build that out. And we believe that we are in a position for further expansion, not only with the fact that we've mentioned multiple times in multiple calls that there's really no data that implies that we are over-stored in North America and certainly not in other countries, particularly now that we've created this more integrated approach to retail, but that we have opportunity to then raise the water level with all of these other initiatives that engages with our consumers across multiple touch points. whether that's retail to gifting to the pajamas to watching a movie on Netflix to posting something online that goes viral on their own that UGC user generated content is an important piece of our brand because we are so emotionally connected and again, woven into the fabric of their lives. 
 And we've seen significant increases in teams, being in our stores. These are not just -- I'm going to go online and buy the next Pokemon. This is really involved engagement at a different type of level. We're an iconic brand, and you can see it showing up in our business when we the kinds of impressions that we get on media drop, the engagements that we have, the lines that form outside of our stores. So I think although you may call them our peers in some way, we're a different business model. And I think that probably [indiscernible]. 
William Zolezzi: Clearly, [ definitely ] you guys are performing at a much different level. And I guess I'll just end with a comment, which is I think you guys have done a great job buying back stock this year. It looks like we've taken about 10% of the share count down. And there was certainly an argument to be made that who knows what the macro will do. But you guys have proven you're pretty resilient to that. And as we kind of look forward to next year, this year, the high end of your guidance applies and it's about $3.20 in earnings, and that's what the average share count for the year. Obviously, the share count has gone down through the year. 
 So we have some built-in earnings growth as we look at next year just from the lower share count, never mind the initiatives that you guys are working on and the freight. So I guess just with the stock right around $20 and we're doing $320 in earnings this year with a path to a much higher number next year, and we've kind of proven we can be resilient in this macro environment. I would encourage you guys to take a hard look at the buyback and continue to take away at the share count as you guys have done this year. So I'll end it there. 
Sharon John: Thanks so much for coming. 
Operator: Our next question is from the line of David Kanen with Kanen Wealth Management. 
David Kanen: The previous caller -- previous caller actually posed the question that was on my list about transportation costs and inflation, nonlabor inflation seemingly going your way. So that's already checked off. But if you could talk about in the quarter, the improvement in revenue and margin, how much of that is volume versus price increase? And is there room potentially to take a little bit more price? 
Vojin Todorovic: Yes. So thanks for the question. Yes, we definitely have seen growth in revenue. We've seen an increase in transactions across all geographies. And we did see the impact of us increasing strategically increasing prices as well as offsetting some of the inflationary pressures. But within the quarter, as I mentioned in my remarks, we had about 200 basis point negative impact of incremental freight compared to last year that we were able to offset as we managed our distribution costs, we leveraged our occupancy cost. And also, we managed our promotions. Our promotional activity has been very low. So we are driving average unit retail in our stores. So it's all the signs of a healthy business and the strategies and things that we are putting in place are working and customers resonating to the product that we are selling in our stores.
  And also, as Sharon mentioned in her remarks, we saw really strong performance in some of the key products like Halloween had a record quarter and like we saw like a 60% improvement year-over-year. So those are some of the drivers that help drive top line revenue, but we managed our expenses and our cost and that resulted in mostly offsetting this headwind that we had from trade that we also said is going to be expect we are expecting to continue to improve in system additional improvement in Q4. 
Sharon John: Yes. And to add to the second part of that question, David, we're always looking at our pricing strategy, looking for places where there could be an opportunity to increase the pricing from a strategic perspective that we would think would not be offset by any sort of volume decline just from a basic elasticity perspective. And we're also very careful, as you know, to keep that addressable price, acceptable price point for the entry level, and it's important that that, that is part of our strategy to keep that broad consumer base engaged in Build-A-Bear ... 
David Kanen: Okay. And by the way, just a quick comment. I do agree with the previous caller's comment. Being that we're at 10x earnings, and you add back cash, our stock would be probably $33, 35, if you include the value of the distribution center. So it seems like the market still has not really recognized the great job that you've done. And I think another way to grow earnings is through the continuing buyback of shares. Just a quick follow-up on e-comm. I know things are sort of post Covid returning to normal. People are going back to the stores. What have you seen thus far in the quarter in e-comm? Is it starting to flatten out? Or is it still running at a decline double-digit decline rate year-over-year? 
Sharon John: As we noted in the remarks, it has it's currently up in the quarter, and we had a strong storm Black Friday and Cyber Monday. 
Operator: At this time, we've reached the end of our question-and-answer session. I'll now turn the call over to Sharon John for closing remarks. 
Sharon John: Thanks to everyone for joining us today. We wish you a happy and healthy holiday season and look forward to seeing you and speaking with you at our upcoming investor conferences. 
Operator: This will conclude today's conference. You may disconnect your lines at this time, and we thank you for your participation.